Operator: Good day, and welcome to the Pool Corporation Second Quarter 2024 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's remarks, there will be opportunity to ask question. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Melanie Hart, Vice President and Chief Financial Officer. Please go ahead.
Melanie Hart: Welcome to our second quarter 2024 earnings conference call. Our discussion, comments and responses to questions today may include forward-looking statements, including management's outlook for 2024 and future periods. Actual results may differ materially from those discussed today. Information regarding the factors and variables that could cause actual results to differ from projected results are discussed in our 10-K. In addition we may make references to non-GAAP financial measures in our comments. A description and reconciliation of our non-GAAP financial measures included in our press release are posted to our corporate website in the Investor Relations section. As we introduced last quarter, we have included a brief presentation on our investor website to summarize side key points for our press release and call comments. Unless otherwise stated within our prepared remarks all comparisons refer to second quarter 2024 versus second quarter of 2023 We are now ready to begin with comments from Pete Arvan, our President and CEO.
Peter Arvan: Thank you, Melanie and good morning, everyone. As we reported this morning we generated $1.8 billion in net sales during the second quarter, reflecting a solid performance in the maintenance portion of our business during the busiest time of the year. This performance showcases our crisp execution, progress on strategic initiatives and our ability to continue gaining share by providing an unmatched value proposition. As we discussed in our June release the trends we observed in discretionary spending for new pool construction and large renovation projects and some larger discretionary items based continued economic headwinds, while the nondiscretionary demand is solid and in line with our expectations. Our customers who primarily focus on new pool construction and renovation and remodel continue to report lower demand for low to mid-range pools, while demand remained solid at the higher end. The trend remains unchanged from recent quarters. A similar pattern is seen in renovations. High-end renovation project interest is reported to be solid although the summer when people are using their pool is the slow season for renovation. Similar to new construction of low-end pools to smaller renovation projects are being deferred frequently in this environment. Dealers are reporting more inbound calls. However, many consumers remain hesitant to pull the trigger in the current economic cycle. We view this as a positive sign for the future. So far this year, we have made progress in several strategic areas of our business that excite us and to drive our ability to capture future industry opportunity and extend our leadership position going forward. We remain deeply focused on our customers and areas of our business where we can position ourselves for sustainable future growth as we leverage the power of our widespread and highly integrated distribution network. We have strengthened our commitment to providing our customers exceptional service and value-add tools to grow their business, while advancing our digital ecosystem development. Adoption of our POOL360 tool continues to increase. We closed the second quarter with 14.5% of our sales completed on our POOL360 digital platform, which is our highest level to-date as our customers experience next level service and convenience, which ultimately creates capacity not only for POOLCORP, but for our customers as well. Our new digital marketing programs continue to gain traction as our dealers experience unmatched capabilities in driving demand for the brands that they carry and lead generation for their core business function. We are also increasing utilization rates at our chemical packaging facility. Since we acquired the chemical packaging operation from Porpoise Pool & Patio we have increased the production at the plant by almost 60% which gives us again unmatched capabilities and drives incremental profitability for our business. We continue to expand our sales center network adding both convenience and needed capacity to support our growth as the industry's installed base continues to grow and we continue gaining share. So far this year we have opened eight new sales centers in line with our strategic plan. Now moving to our second quarter results. Total sales in the second quarter declined 5%, which is an improved trend compared to the year-over-year changes that we have seen in recent quarters. As we mentioned in our press release the last week of June showed a notable improvement in the daily sales which was sparked by favorable weather and strong execution from the team. Our maintenance business is strong. Our software platforms are gaining traction and our building material products performed better than new pool construction trends and external permit data would suggest. While we take some encouragement from this slightly improved trend, we are maintaining our top line guide along with our year-to-date results sales trend. Once we pass the midpoint of the third quarter and into the fourth quarter, the discretionary portion of our business can have a greater impact on our total sales based on the seasonality of the industry. So we also considered this dynamic in our full year guide. Our gross margin for the second quarter finished at 30%, down 60 basis points from the prior year. Remember that last year we were still selling through our strategic excess and lower cost inventory in the second quarter. Lower levels of our higher margin in building material sales also inhibited the gross margin in the quarter. So our ability to deliver 30% gross margin under these circumstances, highlights some of the underlying structural improvements on supply chain value-added pricing and our strategic priorities. From a profitability standpoint, we produced an operating income of $271.5 million and operating margin of 15.3%. Although down from the 17.6% operating margin from the same period last year, it reflects continued strategic investment in technology, a continuation of planned new sales center openings, acquisitions and further expansion of our Pinch A Penny network. Melanie will give you a more detailed commentary on expenses. While we are without a doubt managing controllable expenses, we also continue to invest in the long-term success of our business recognizing that we are working through an economic cycle and that the business is getting stronger. We finished the quarter reporting diluted earnings per share including the $0.01 tax benefit at $4.99 per share. Looking at sales by geography. Florida saw the strongest performance with sales being down just 1%. In Texas, sales declined 6%, as we observed incredibly wet conditions through May making construction difficult and impeding maintenance spend. California and Arizona were down 5% and 8% respectively with a similar overall trend of solid maintenance and aftermarket sales dragged by lower new construction and remodel. In total, our year-round markets were off 5%, while the seasonal markets were down 6%. Europe was down 11% and remains challenged with a tough consumer sentiment and was further impacted by cold and rainy weather and late pool openings this season. We continue to make operating improvements that will position us well in this area when sentiment improves. For Horizon, net sales declined 6% compared to the second quarter last year and at the same level of sales decline as we saw in the first quarter. Our irrigation business is more impacted by commodity pricing than the swimming pool business, and has seen some irrigation project deferrals in both commercial and residential during the quarter. Moving to our product and end market details. The 1% increase in chemicals reflects a 3% growth in volume with a 2% deflationary impact on price, still primarily driven by trichlor. We see the positive effects of our efforts in this area, particularly noting that our private label chemical sales grew at double-digit rates and outpaced the growth of the rest of our chemical portfolio. On Building Materials, the 10% quarterly sales decline is better than what we are seeing in overall new pool builds and our remodel expectations. Equipment sales ended flat for the quarter and is an area that we have seen improvement, particularly around lights pumps heaters and parts. Remember that our equipment results exclude cleaners which is a discretionary area that remains challenged. The equipment performance is noteworthy considering the new pool construction trends and the maintenance of our aftermarket business. As an example, we estimate that pumps used for maintenance versus new pool construction is 4:1. So we expect our maintenance and repair business on equipment to continue to hold up well. Price on equipment came in at up 2% to 3%. Related to price in other areas, we did see some pressure during the quarter on certain commodities like pipe and rebar which show up in our building materials and irrigation business results and on chemicals as discussed. Commodity prices moved with the market and represent a relatively small portion of our overall business. Looking at our end markets and commercial business. Sales increased 16%, rising after a flat first quarter and in line with another travel-rich summer and openings of community pools. Sales to independent retail pool customers declined close to 6%, which represents sell-in to those stores. We believe that this is reflective of consumers being more selective on some discretionary purchases and a later start to the season in some markets. Our Pinch A Penny franchisee sales to their end consumers collectively increased 4%, which reflects a high concentration of stores in year-round markets and a strong customer value proposition. Circling back to POOL360. We are pleased with our progress since launching our POOL360 service platform in February and the POOL360 water test application last summer. As we have discussed these tools ultimately link into our enhanced B2B POOL360 platform, the foundation for our digital ecosystem. Our POOL360 water test tool provides optimal water chemistry recommendations to ensure safe water and an enhanced swimming environment directly tied to our private label products. To date, we are very pleased with the number of retail stores using the software, which we soft launched after the season began in 2023. Our retail solutions team has been fully engaged with water test in the first half of this year and continues to onboard dealers. As peak season comes to a close and customers have more time to schedule onboarding, we will again be focused on driving our technology and offering in conjunction with our 2025 retail and service programs. POOL360 service allows our customers to expand their businesses by automating manual tasks like quotations, scheduling, routing, billing and collections, all while providing direct purchase access to the POOL360 tool. Orders processed through the traditional B2B POOL360 platform increased to 14.5% of total sales this quarter, growing from 13% in the second quarter of last year and 11% in the first quarter of this year. Technology is a key source of differentiation and continues to be an effective tool to grow sales and create stronger partnerships with our customers. We continue to strategically expand our network opening another three sales centers in the second quarter and acquiring one. Our second quarter acquisition offers us a premier presence in the Atlanta market with a central location combined with our established presence in the market this gives us the greater ability to serve the entire metro to fulfill demand in this major Sunbelt market. These additions bring our global sales center network to 445 locations. Our Pinch A Penny franchise network added three new stores each in the strategic Texas market ending the quarter with a total of 292 franchise stores. Continuing to build on our franchise network along with expanding support offerings provided to our independent retail dealers will allow us to expand our reach and continue to capture the do-it-yourself maintenance market. Taking all of this into consideration in view of the peak season activities and our current outlook, we are confirming our full year diluted EPS guidance range of $11.05 to $11.45 including an updated $0.20 estimated benefit from ASU. Even under somewhat challenging operating conditions, our strong cash flow allowed us to return a total of $173 million to our shareholders through dividends and share repurchase so far this year. During the quarter, our Board increased our quarterly dividend to 9%, marking the 14th consecutive year of dividend rate increase and increased our repurchase authorization to $600 million, reflecting our commitment to generating returns for our shareholders. For the remainder of 2024, we plan to center our focus on execution and our strategic growth initiatives. From an industry perspective, pools and expanded outdoor living space remains highly attractive to homeowners. Pools remain one of the most frequently searched terms in the online real estate sites. Home values remain strong. Demographic trends such as southern migration to the large millennial population we're driving household formation and continued new home builds all support the long-term industry dynamics even during the period of higher interest rates and suppressed existing home turnover. As we have seen for well over a year now, high-end consumers appear to be making up a large portion of the new pool build again in 2024. It is unclear when the mix will shift based on the amount and timing of interest rate reductions and the economic indications needed for consumers to feel less pressured. We are best positioned to provide the widest product offering in the industry, support enhanced outdoor living, features and aesthetics through our NPT branded products and partner with our vendors to unveil the latest available automation offerings. We remain ready to serve our customers with everything they need to help them create the outdoor living oasis that people want while providing the tools and support to grow their business. Although we expect a lower number of new pools to be built this year at roughly 60,000 new units, this still represents a 1% increase in the installed base of pools that will need to be maintained going forward. We remain relentless in expanding our network to best serve the professional and do-it-yourself maintenance customer and improving the customer experience enhancing our capacity creation and launching our industry-leading digital ecosystem. I will now turn the call over to Melanie Hart, our Vice President and Chief Financial Officer for her detailed commentary.
Melanie Hart: Thank you, Pete and good morning again, everyone. We reported net sales of $1.8 billion in our seasonally largest second quarter, a decrease of 5% from prior year. We experienced an approximate 1% inflation benefit during the quarter. From a product perspective price increases on equipment sales continue to hold in the 2% to 3% range. While seeing positive volume trends on chemicals, there were negative effects on pricing of chemicals and other commodities impacting sales by 1%. Selling prices specifically for chemicals will likely remain lower than last year, for the remainder of the year. From an end market and business line perspective, as we stated in our recent update, the trends regarding new pool construction and remodel activity are less than projected at the end of last quarter. As discussed in our June Pool Season Update Release, we now expect around 15% to 20% lower levels of new pool construction compared to the prior year, which impacted total sales by around 3% for the quarter. As discussed, we believe that remodel activity may be down as much as 15% for the full year and that lower level of remodel activity adversely affected total sales by about 2% from prior year during the quarter. Declines in sales at Horizon in Europe had an approximate 1% negative impact, on total net sales for the quarter. Our gross margin for the quarter finished at 30%, down 60 basis points from the prior year. As we expected gross margin in the current year is lower than last year when we were reducing our inventory levels and selling down lower cost inventory which for the most part has now been normalized. And we do not expect any significant quarter-over-quarter changes from this effect in the second half of the year. Benefits realized over the last several years from growth of higher gross margin building material sales did not occur in the quarter. Although other factors such as acquisition contribution, pricing optimization and supply chain actions have benefited gross margin and should continue to support margins going forward. Operating expenses this quarter were $259 million, $18 million higher than prior year representing 14.6% as a percentage of net sales. The year-over-year increase in the quarter of 7.4% is higher than the 2.6% increase reported in the first quarter, as we had a higher level of spend in the quarter to accelerate our sales center network expansion and technology development. Specific to the quarter, through July, we have opened up eight new sales centers and have also rolled out several enhancements to our customer-facing technology platform, providing our customers with even better digital tools for use during the peak pool season. Additionally, we closed three Horizon locations, two in June and one in July where performance did not meet our return criteria and we did not see appropriate near-term improvement opportunity. Expenses related to these locations were close to $1 million during the quarter and will not be continuing into the rest of the year. These locations for projects we used to evaluate different product or location offerings and have characteristics outside of our traditional Horizon business and thus does not reflect any changes to our expected results on the remaining part of the business. In light of the mid-season sales trends, we intensified our focus on controllable expenses during the second quarter, in an effort to improve cost leverage. And we'll see the benefits of these incremental efforts as expenses in the second half of the year are expected to increase in the low-single-digit range with the third quarter expenses expected to increase similar to first quarter and slightly higher growth expected in the fourth quarter. Operating income of $271 million was down $56 million or 17%, compared to prior year. We continue to operate with less debt outstanding and we're able to reduced interest expense $2.8 million during the quarter, compared to the second quarter of last year. Overall, second quarter net income of $192 million compares to $232 million in prior year. For the quarter, our results reflect a $0.01 benefit from ASU. Diluted earnings per share of $4.99 decreased 16% compared to $5.91 in the second quarter of 2023. Moving to our cash flows and balance sheet. Second quarter cash flows remained strong, reflecting normalized contribution after early buy deferred payment terms which came viewed during the quarter. Cash flows from operating activities of $172 million year-to-date is on pace to meet or slightly exceed our target of approximately 100% of net income for the full year. On the working capital side, our accounts receivable days outstanding of 26.8 days remains consistent with the 26.9 days from last quarter. Inventory of $1.3 billion is $97 million less than prior year. As of June 30th, 2023, we had completed $186 million of our stated inventory reduction goal of over $200 million during 2023. Thus the prior year second quarter number already reflected some destocking from the end of the prior year. Our inventory days on hand have reduced from 141 to 131, a similar improvement to what we reported in first quarter. Our prior year inventory positions were normalized as we got to the end of the season at the end of the third quarter. Total debt of $1.1 billion is $68 million less than last year as strong cash flows provided funds for repayment. Debt leverage ratio of 1.4 as of the end of the quarter was just below our 1.5 to 2 times target reflecting significant capacity for funding future growth opportunities. Moving to capital allocation, we continue to support the ongoing business and organic growth with $34.9 million of capital expenditures, including new sales center openings. We completed another acquisition during the quarter for a total of two additional sales centers added through acquisitions year-to-date. Also during the quarter, our Board of Directors increased our quarterly dividend by $0.10 or 9% to $1.20 per share, reflecting our confidence in the future earnings beyond the current economic cycle and expected ongoing strong cash flows. The Board also increased our share repurchase authorization back up to $600 million adding $316 million in additional repurchase capacity. We made repurchases of $68 million during the quarter and an additional $10 million through today's earnings call. We currently have $572 million remaining under our share repurchase authorization. Looking ahead to the second half, our expectations for pricing for the remainder of the year are similar to actual results seen to-date. The estimated lower number of new pool builds and reduced renovation activity are expected to continue to negatively impact sales around 4% to 5% collectively for the year. Horizon and Europe are expected to represent an additional 1% decrease. Seasonal gross margins held up well in the second quarter although impacted by lower building material sales year-over-year. For the remainder of the year, we expect gross margin to be in a similar range to last year with internal strategic initiatives offsetting the drag from building materials. Full year gross margins we anticipate to be approximately 30%. Operating expenses for the full year as mentioned above are expected to see a low to mid-single-digit percentage increase year-over-year and will include continuing technology investments of approximately $20 million and costs associated with the newly opened greenfield locations estimated to be around $12 million and the acquisitions we've completed to-date. Our rate of expense increase, after considering inflation and these incremental investments, reflect substantial efficiency improvement benefits from our capacity creation and operating initiatives. Full year interest expense is expected to come in closer to $50 million from our previous estimated range of $50 million to $53 million. Our annual tax rate is expected to be approximately 25%, excluding the ASU benefit with a lower rate to be reported in Q3 and a slightly higher rate similar to our second quarter rate in the fourth quarter. Excluding the effects of additional share buybacks, we anticipate that fully diluted weighted average shares outstanding would be approximately 38.5 million shares for the third and fourth quarter and 38.6 million shares for the full year, reflecting a reduction of approximately 140,000 shares from year-to-date share repurchase activity. Consistent with our June update, we expect that our 2024 diluted EPS will range from $11.05 to $11.45, including the $0.20 of ASU realized year-to-date. We completed our third annual corporate responsibility report last month. This year's report included expanded disclosures, in particular, around our Scope 1 and Scope 2 emissions and our workforce, and it is also aligned with the SASB framework, a leading framework that identifies important environmental, social and governance topics, typically most relevant to stakeholders. As we wrap up our comments today, we are reiterating our focus on managing the business through the current cycle while continuing to invest in strategic technology tools, sale center network expansion and selective acquisitions, that will enable our long-term growth, superior operating performance and attractive shareholder return. We will now begin the Q&A portion of our call.
Operator: We will now begin the question-and-Answer Session. [Operator Instructions] And our first question today will come from Susan Maklari with Goldman Sachs. Please go ahead.
Susan Maklari: Thank you. Good morning, everyone.
Peter Arvan: Good morning.
Susan Maklari: Good morning, Pete. My first question is maybe talking about pricing and the gross margin. You mentioned that you're seeing some success and some optimization initiatives there. Can you talk a bit about how we should think about that coming through over the next couple of quarters? And what it could mean for the gross margin over time?
Peter Arvan: Sure. As you know, Susan, there's a lot of components related to gross margin. If you just look at the simple transaction count that we'll have between now and the end of the year, it's going to be several million transactions made up a variety of products. So, of course, you have mix that plays into that. And as Melanie mentioned, and I think I mentioned in my comments, mix as it relates to construction material, which is typically a higher-margin product is not particularly helping us this year with a decline in new pool construction and renovation and remodel. So that would be a headwind. But I don't think it gets any worse than what it is right now. I think that just kind of continues. And then we mentioned that there are things that we've done around our strategic pricing and I think things that we have done related to our private label programs and our supply chain initiatives that help. So as I mentioned, the gross margin rate that we saw for the quarter of 30%, I think is a admirable. We're very pleased with the outcome for the quarter. So between now and the end of the year, I mean we would maintain that it is going to be approximately 30%. Might get stray a little bit up or down depending on mix. It could, but I think it's generally going to be in that range. And I think that's supported by the activities that we've been working on as I mentioned.
Susan Maklari: Okay. That's helpful. And then it sounds like the POOL360 investments are gaining some nice traction as we think about the first half of this year. Can you give a bit more color there on how some of that is coming through and how you're thinking about that as we think of the back half of this year and then maybe even into 2025?
Peter Arvan: Sure. So, I'll talk about the three separate applications and they all basically, as I mentioned, are part of the POOL360 ecosystem. So if I start with the water test software that we have, that is tied to our private label program. So the dealers that are on that, they're full line stocking distributors of our private label chem programs. They have kind of best-in-class water testing and prescription developing solutions that they can give the consumer when they come in. There's also a CRM function in there where they can capture the data about the pool and about the consumer, which helps them every time the consumer goes into the store. But as you can imagine, there is a selling season for that, right? So during the season right now when typically the pool retail stores are very, very busy, is not the time that any of them are going to convert. So, this is the season where the people that signed up before are leaning into the software and they are using it. And frankly, they're helping us with feedback on features and functionality, which we're using to develop our software, because as you know, with software you're never done. There will be a constant stream of enhancements that continue to improve the user's experience. So good progress on the water test. We still believe it or not there are still some dealers that are onboarding even this time of the year but we expect that as the season winds down that we'll see a much larger number of dealers that onboard during the off-season. Similarly, if I refer to the POOL360 service, it's really the same cycle. So everybody in the pool industry right now is busy. So the service folks that would have to onboard on the software and load their data into the software, so that they could derive the benefits as I mentioned, which is scheduling, it's routing, it's onetime service, it's pricing. It's everything that they need to essentially run their business. This is again not the time of year when we expect to see a lot of people onboarding. But we are doing some selling this time of year. So we have a road show that's basically going around the country and going into several key markets where we are spending time with the customers. And frankly, the feedback we're getting on that is extremely positive because people see the benefit in the tool and that unlike the original version of POOL360, which didn't have nearly the same benefits for the customer as it did for us that tool is in particular designed to provide most of the benefit for the pool service company, which again expands their capacity allows them to grow, allows them to tap into our digital marketing program, and frankly, become stickier with us. And then of course, you have just our POOL360 platform, which we talked earlier -- we talked about on the last quarter call that we have updated significantly to improve the user experience. That's really kind of a year-round tool that allows people to put their order in put an order and priority pick avoid the lines at our sales center. And again, we're seeing more adoption on that as well. So, overall very pleased. We never expected that this was going to be an overnight success. We thought that it was going to be something that was going to take time to get the customers comfortable with. And then frankly, the more people are on it then their voices are the best form of advertising that we can have. So overall very pleased.
Susan Maklari: Okay. That's great color. Thank you for everything Pete. Good luck with the quarter.
Operator: And our next question will come from David Manthey with Baird. Please go ahead.
David Manthey : Thank you. Good morning, everyone. Melanie quick question for you on the gross margin. So I think you said in your monologue that the back half of this year would be similar to the back half of last year. And if we just run that through we're coming in a little bit below 30%, 29.7%, 29.8% range. Is that what you mean by approximately 30%?
Melanie Hart : Yes. I think that range within 20 or 30 basis points. As Pete mentioned, there are some many different components that go into gross margin. It's certainly very hard to pinpoint it this early in the year. We know that the full year margins are going to be impacted by those building materials that lower level of building materials, and we've seen that so far to date. And I expect that that would continue throughout the rest of the year. We are -- because of our purchasing higher purchasing from last year we're seeing slightly higher vendor incentives, but a good portion of that is being offset by -- the flip side to that is higher purchases also include higher freight in. So that's impacting it. And then we do still expect to see that chemical pricing coming in lower year-over-year for the rest of the year. And then we are continuing to see as we had mentioned last quarter that our larger customers are really outperforming some of the smaller customers. So I think with all of those factors in play your estimates there winds up in a very reasonable range.
David Manthey : Yes. Okay. And then I know it's too early to maybe talk about 2025. But when we're thinking about that 30% Mendoza line, if new pools and major renovation and the building materials are roughly in line with the maintenance as we go forward here again I think you picked up a bit of a benefit in the first quarter from a reversal of an accrual or something. But as you think about that 30% into 2025 maybe just qualitatively what are the factors that could improve gross margin from this year relative to next year assuming that the mix doesn't change all that much?
Melanie Hart : So assuming that the mix doesn't change with we certainly we don't know when but we are hopeful and we know that it will change at some point and we'll get those benefits that we're missing out on in the current year related to the building materials. But outside of that what we're really focused on right now are things that we manage and we control. So we're very much focused on our efforts around pricing. We're continuing to focus on our expansion of our private label chemicals as well as some additional actions that we're taking on the supply chain side.
David Manthey: I appreciate it. Thank you.
Operator: And our next question will come from Scott Schneeberger with Oppenheimer. Please go ahead.
Scott Schneeberger: Hi. Thanks very much. Good morning. Pete one for you and then one for Melanie. Pete, a common question is just the confidence and it's tough post-pandemic on anticipating these years what we're going to see with regard to new pool build and renovation. And so the heart of the question is, how confident are you here with this reset guidance level for the remainder of the year? And maybe a little bit of discussion in the visibility you have into that? Thanks.
Peter Arvan: Yes. I think we are -- that's a good question. And one as you can imagine that we spent a lot of time discussing here and discussing frankly with our dealers. So on one hand I look at the new construction activity. If I look at permits and then I look at our building material sales it appears that we're doing better than the market would indicate in terms of new pool construction meaning that my sales of building material products are not down nearly as much as the permit data would suggest. I think overall permits are down about 17%. I think our building material sales as we reported are much better than that albeit still off double-digit. So the comments we're getting back from dealers which I mentioned is that there's a lot of -- I'm not saying a lot. There are more inbound calls than they've seen earlier in the year and towards the end of last year. So inquiries are good. I think people are waiting for a sign to say, all right the Fed is actually serious about cutting interest rates. The economy is going to expand a bit and the consumers get a little bit healthier. You know, when -- as I mentioned if you look at the online real estate sites and you look at the words that are being searched the word pool comes up near the very right top of the list. So people still want a pool. I think this year was a tough year. Frankly it was worse than what we anticipated in the beginning of the year hence the guidance update that we put out in June. But at this point I think we are -- we're fairly comfortable with the level that we see and dealers are not telling us that it is getting any worse. And I think we're slightly outperforming the industry in our participation in the number of pools that are being built.
Scott Schneeberger: Great. Thanks. Appreciate that. And Melanie for you just on managing the margin -- the operating margin the -- just a few things here in today's call. I think it was three locations closed on Horizon. And I heard $1 million impact. I didn't get the context of the timing on that. If you could repeat that. But are you -- and then you've talked also about supply chain efficiencies. I'm just curious what -- if you could take us a little deeper on both as you're pursuing efficiencies in the model particularly in a year like this where you're seeking out some cost savings? Thanks.
Melanie Hart: Yes. So the $1 million was the number for the quarter as it related to those three sales centers that we closed. So that was the expense in the quarter that will be non-recurring throughout the remainder of the year. And then on the supply chain there's multiple different things that we're focused on there. There are areas that we're focused on around product costs that will impact the gross margin. But specifically as it relates to the operating margin the biggest driver there is going to be fleet and delivery expenses. And so we're very much focused on that. As we look to expand in different markets -- we are able to leverage our vehicles and leverage our drivers and leverage our deliveries. So that's one of the things that our competitors don't really -- they don't have the ability for that same model that we have. So particularly as we continue to expand our MPT branded building material offerings we have the ability within a market to utilize one location to do those deliveries. And so the freight expense which is a significant side of our overall expenses is an area that we've been focused on as well as we've also continued to expand our CFL. So that's, for us, our central shipping location, of which we have four within the network. And that allows us to bring in product at a lower cost from our vendors, and then redistribute it within the network. It allows us to better manage our inventory over time as well as to have lower cost and lower delivery, and then more product availability on a quicker basis to our customers.
Scott Schneeberger: Thanks very much.
Operator: And our next question will come from David MacGregor with Longbow Research. Please go ahead. Hello, David, perhaps your line is muted.
David MacGregor : Sorry about that. Thanks for taking my question, and good morning. I wanted to just start off by talking about some of the share growth and just the extent to which you're exceeding market growth right now. Can you talk about the composition of that difference and the extent to which some of that might be acquisitions versus other factors?
Peter Arvan: Yes. As you know, David, the hallmark of Pool is, we're an organic growth company. So if you look at the acquisitions that we've done this year, they're important, but they're relatively small, certainly in the grand scheme of things or in context of the whole company. So the growth that you're seeing is really driven from a share perspective. It's driven organically. It's driven by our new sales centers that opened up in the critical areas and the places that we need better capacity and quite frankly, where we improve the value proposition for our customers. If you look at the concentration that we have of locations in the market, and frankly, the focus on customer experience, you won't find that same concentration or focus on customer experience with anyone. So if I look at -- so you're probably wondering what's might? How do you think and where does it show up? And if I look at our chemical business, our volumes on chemicals are up 3% this year. And that is with a late start to the season, tougher weather in many key markets and the fact that the volumes are up 3% when the installed base is not up 3% is an indication that we continuing to take share because we are the places that people need product, and we are focused on customer experience is second to none. And then when you add the private label capabilities that we have on chemicals, that's certainly a big differentiator. As I mentioned on new pool construction when we look at our building material sales, I mean, nobody would be happier if they build more pools this year than me, maybe Melanie. But certainly, I'd be happy. But if I look at the permit data and what I believe to be the drag in new pool construction and then I look at our building materials, where certainly there's not a big lift in price that it certainly shows that, again, we are getting a bigger slice of the pie. And then again, when I look at equipment sales, which were pleased equipment sales overall, are flat. Heater's is a key area for us where our heaters were one of the first areas that took off during the pandemic, and they also had one of the biggest corrections. That is a product that we're starting to see growth again and which is very encouraging as well as things like pumps and light and coronation and such. So overall, I just think that there has been a tremendous focus on customer experience and making sure that nobody does it better for the customer, and that we continue to provide those value-added services that there is no equal to in the industry.
David MacGregor: That's helpful. My second question, really with respect to operating margins, and just what is the opportunity to achieve operating margin improvement at the store level? And I know at the analyst meeting you talked about the focus of those centers and trying to improve 4 walls profitability at that level. In a softer environment, like we're in right now, is the expectations around that get pushed out a little bit? Or do you think you can still maintain the momentum?
Peter Arvan: I mean there's a few groups, right? So certainly, even in the focused locations, even in a down market, there is certainly an opportunity to continue to improve operating margins, and it's really a function of execution, right? It's a function of doing things right in the sales center and managing the inventory, managing the customer experience and managing our costs and ultimately, growth. I mean the biggest lever you have for operating margin improvement is growth. And as you can imagine, the -- I would imagine that our focus centers are the ones that are going to be trailing the rest of the business in terms of sales growth. Now, there's a couple of reasons for that. One is, every new sales center that we open by definition goes on the focus list to make sure that it gets the appropriate attention given the investment that we just made. Virtually every acquisition that we make operates well below the fleet average, so those two go on the focus list. So -- and if you look at our overall operating margin, if you look at a continuum, it's not like the mean and the median are the same number. There's a fairly wide distribution in operating margins. So we see even in a down market at the individual sales center level, there's still plenty of things we can do. Having said that, overall the biggest lever that there is sales growth, right? And sales growth in a down market becomes much more difficult, but it is achievable and we have some locations that are up year-over-year. But getting back to the cadence of continuing to expand on a predictable basis the operating margins really comes with when the market turns and the market starts to grow and we get back to that long-term growth algorithm that we talked about which is a 6% to 9%, which won't come really until we see the reversion in new pool construction. Do we think that's coming? Yes. Do I think it's going to happen between now and the end of the year? As we mentioned, we do not.
David MacGregor: Very helpful. Thanks, Pete.
Operator: And our next question will come from Lauren Rivoli [ph] with William Blair. Please go ahead.
Unidentified Analyst: Lauren Rivoli [ph] on for Ryan Merkel. So first half sales were better given a stronger last week of June attributable to hotter weather regionally. Are you seeing these trends continuing into July with hot air weather? Is demand tracking better than expected?
Peter Arvan: Yes. I would tell you that the results that we see in July so far are encouraging. They're strong similar to the last week that we saw in June and that's really a function of we're in season. It's hot. We have -- we think the best value proposition in the industry and that's what's driving the business.
Unidentified Analyst: Thank you. I'll take the rest offline and pass it on.
Unidentified Analyst: Thanks.
Operator: And our next question will come from Steve Volkmann with Jefferies. Please go ahead.
Steve Volkmann: Hi. Thank you, guys. I don't know if I missed this or maybe you didn't or don't want to say it, but if we have kind of the recurring revenue business sort of flat this year and the Building Products, I don't know let's call it down 15% or something, is there any way to ballpark the impact that has on the gross margin the dilutive impact?
Melanie Hart: So I would probably ballpark it in this manner. So when you look at the way that we have historically built up the bridge from the 29 to 30, we said that roughly half of that was acquisition benefit. And then the remaining half of that the 50 basis points was really made up of a combination of the benefit from the building materials, the pricing, the CSL expansion and the private label with those kind of roughly distributed evenly within that mix.
Steve Volkmann: Okay. And I guess maybe a longer-term bigger picture question maybe for Pete. But pre-COVID and I guess for you Pete, the long-term algo here was kind of growth the way you guys have kind of laid it out, but it included sort of a flattish gross margin with leverage on SG&A over time. But it sounds like you're talking more about gross margin upside than over the past -- over the next I don't know call it 5, 10 years. I don't want to put words in your mouth, but is the new algo actually include a positive trend in gross margin as well as leverage on SG&A?
Peter Arvan: I think longer term Steve, the way to think about gross margins is, we do believe that there is upside in gross margin. But it's not going to come overnight. And frankly there isn't a silver bullet that we do this and gross margin goes up. I mean we've talked about the areas that we're focused on that improved gross margin. We've talked about the work that we're doing around strategic pricing. We talked about improving the mix business that we have. We've talked about leaning into our private label products in particular our chemicals. We've talked about improvements in supply chain and leveraging our CSL, which all contribute to in a positive way to the gross margin. That's going to be offset by competitive pressures which are in the market really nothing new there, but there's certainly competitive pressures that we have to deal with every day. But if I were to give you a longer-term view that says can we continue to leverage SG&A? Yes, virtually every facility we have has the ability to leverage SG&A with sales growth. Now as we have mentioned when we look at our cost basis, certainly there's upward pressure on wages and there should be. Certainly every time we renew a lease, it is certainly not a branch -- or it's not on our side. The landlords have the advantage right now because there's a scarcity of facilities in particular in the areas that we want to grow in. So we're having to work hard on the SG&A leverage. And I think over time that there is continued upside on gross margin. I don't think you're going to see it go 30, 31, 32, 33, 34 successfully over the next four years. But do I think that we have enough things in our deck that we are working on to continue to drive that number up? Yes, I do.
Steve Volkmann: Okay. Thank you guys.
Operator: And our next question will come from Trey Grooms with Stephens. Please go ahead.
Trey Grooms: Hi, good morning. Thanks for taking my questions. I think the first one that I have is kind of on cash flows and maybe the flow-through there. You pulled back inventory a bit in the quarter. As we look at the full year, should the year-over-year improvement in working capital should we continue to see an improvement there? Or is there anything on the working capital front that we should be aware of in the back half Melanie?
Melanie Hart: Yeah. There's nothing unusual in the back half of the year. So as we would typically expect, the third and fourth quarters are a very good cash flow year for us. And we do think that for this year that we should be able to slightly exceed our target of the 100% of net income from a cash flow standpoint. And the biggest benefit certainly the biggest driver is that typically is going to be inventory.
Trey Grooms: Perfect. Thanks for that. And I guess one last one for me is on the pricing side, you mentioned that you were seeing some lower pricing clearly on commodity. But is there any other area where you're seeing any kind of pricing pressure outside of like what we were saying on the commodity kind of impacted front?
Peter Arvan: Yeah. I think what we said is that there's a few areas that we're seeing pressure on pricing. So commodities are going to fluctuate as you mentioned. There's certainly competitive pressures and we mentioned that on the last call, because we had folks that were essentially trying to generate cash to make their early buy payments. So we saw some pretty ridiculous pricing being delivered to the market, which we knew wasn't sustainable and it wasn't. And so that certainly has abated. And then I guess overall when I look at this competition, I would say larger customers on the construction side as we mentioned even though new builds are down there are people that are getting the lion's share of what's being built is the larger customers and certainly larger customers have a lower margin profile. So that's certainly from a headwind perspective the areas that we currently see. I guess, what's important to point out here is none of this is new, right? None of this is new. If you go back and you look at our reports over the last 10 years, the comments I just made you will find in every one of them. There's nothing new in that.
Trey Grooms: Yes. That's super helpful, and thanks for the color on that, Pete. But the one question we still get from time to time is -- and I know you touched on this on the last call kind of with your thoughts, but -- maybe any update on if you're seeing any kind of change in behavior out of heritage now that Home Depot has had them under their umbrella for I guess a month or so? But it sounds like the answer to that is no.
Peter Arvan: Yeah. It really isn't. I mean, as you can imagine, I'm sure there -- it's way too soon to have any impact from their new ownership. So nothing has really changed in that. And if you -- and frankly, as I said if you go back and look at the market over the last 10 years, remember all heritage did was turn around and buy the existing distribution that was out there. So much of what they have is the same competitors that we had before. So these same patterns from a competition perspective. And frankly, when you don't have the value add that we do, the best way to compete with us is on price. But again, and I have to point this out to our folks too, it's the same pattern that's happened for years and I expect it to continue, but it's nothing that we lose a lot of sleep over. I'm hopeful that with Home Depot helping run the show that they become a little more responsible.
Trey Grooms: Okay. Thanks, Pete. Make sense to me. Good luck.
Operator: And our next question will come from Garik Shmois with Loop Capital. Please go ahead.
Garik Shmois: Hi. Thank you. Just on OpEx growth. I think if I heard you right, the growth rate is moderating in the third quarter, but then an increasing somewhat in Q4. I'm just wondering as to the variance there for modeling purposes. And then it might be earlier, but do you think operating expense leverage could revert back to more normalized levels in 2025?
Melanie Hart: So as it relates to the differences between third and fourth quarter, the bigger difference there really is that the fourth quarter has less variable expenses that we will be able to take out from an efficiency standpoint. So the percentage increase is really just the fixed cost primarily on the rent side. That's going to be a bigger driver in the fourth quarter versus the third quarter. And as we look forward from an expense leverage standpoint, we have looked across the network and taking the opportunity, as we mentioned some of those Horizon closure to really evaluate our cost structure from the ground up. And so, I believe that the decision that we've made this year will allow us to be quicker on our feet in getting that expense leverage as we move forward with top line sales growth.
Garik Shmois: Got it. Follow-up question is just more very short term. Just with the pickup in June -- the last week in June and that's continued here into July. Is it primarily on the non-discretionary piece products that you likely would have sold, if not for the weather delays earlier in the second quarter? Or are there any other green shoots that you're seeing that could point to maybe a little bit more optimism on a broader-based recovery?
Peter Arvan: No. It's really -- it's the maintenance spend, right? So the more the equipment gets used, the more people that are in the pool then the larger the demand is for those products. And then we are -- we're enjoying a bigger share of that based on the differentiated value proposition that we have. But I'd love to tell you, that I'm seeing green shoots on construction and renovation. But as I mentioned this really is a renovation season so we don't really know. And on construction I still think, there's a lot of people that want a pool, as the dealers are saying hey, the phones are ringing, people wanting quotes, they want to know but I just think they're waiting for a little better economic environment to pull the trigger.
Garik Shmois: Understood. No. Thanks for that. I'll pass it on.
Peter Arvan: Thank you.
Operator: And our next question will come from Sam Reid with Wells Fargo. Please go ahead.
Sam Reid: Awesome. Thank you so much. I know it's still too early to be thinking about 2025. But maybe just a quick thought from your vantage point on the top line all-go next year. You're seeing kind of muted new pool construction and there obviously are some pools that exit the base due to scrappage and other dynamics like that. Maybe just talk through kind of the achievability of the algo next year, if you don't get that let's call it one to two-point contribution from new pools entering the base.
Melanie Hart: Yeah. So certainly, we would expect that looking at kind of what we've seen on the impact from the new build and the remodel activity this year those are kind of collectively bringing down sales expectations kind of four to five. And so if that -- let's say that, flat next year then you would see no impact kind of positive or negative from that activity kind of year-over-year. And then you would see the positive impact coming through from the maintenance activity on the incremental 60,000 or so new tools that you have built this year.
Sam Reid: Thanks. And then one final one, just thinking through your chemical packaging operations it sounds like you've done a great job of scaling that. I think you mentioned up 60% since you purchased it. Maybe just talk through the margin benefit you've gotten from those chemical packaging operations and whether there's any kind of incremental margin beyond that we should be contemplating in our models? Thanks.
Peter Arvan: Yeah. I think it's a piece of the margin improvement that we have seen and the margin profile is really different by product. So there are certain products to that, a much better margin profile. Others are going to be certainly better, but not as much. We really don't parse that out. And the one thing I would remind you is that, our view on the chemical packaging operation is we need our chemical partners. We will never be sole sourced in that plant on our chemicals, because of surety of supply and redundancy. So even if I could supply the entire business out of that facility and have incremental basis points of gross margin by doing that I wouldn't do it, because I wouldn't put all of the eggs of the company in one basket. So our chemical business is going to be a blend of our partner suppliers and the Suncoast facility. Certainly the things that we run through the Suncoast facility are margin accretive to the business. They vary by product. It would be at the high-end is going to be your liquids and some of the balancers. And then when you get into trichlor there's certainly an advantage but nowhere near the differentiation that we see on the other products.
Sam Reid: That's super helpful. I'll pass it on.
Peter Arvan: Thank you.
Operator: And this will conclude our question-and-answer session for today. I would like to turn the conference back over to Peter Arvan, for any closing remarks.
Peter Arvan: Yes. Thank you all for joining us today. We look forward to our next call, which will be on October 24th, when we release our third quarter 2024 results. Thank you for your support. And enjoy the rest of your summer.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.